Nick Hampton: [Presentation] Good morning, everyone, and thank you for joining us. I am pleased to present Tate & Lyle's results for the year ended the 31st of March 2023. Before I get to the details of the presentation, I want to briefly reflect on what has been an excellent first year for the new Tate & Lyle as a growth-focused specialty food and beverage solutions business. Our financial performance was strong, delivering on all our key measures with double-digit revenue and EBITDA growth. At the same time, we significantly progressed our growth-focused strategy. We acquired a high-quality dietary fiber business in China, significantly increased our solution-selling capabilities and made a commitment to reach net zero by 2050. We also launched a new brand to better reflect the Tate & Lyle of today. Our balance sheet remained strong, fueling our ability to invest for growth. And as we set out at our capital markets event in February, the transformation to reshape our business over the past 5 years has put Tate & Lyle right at the center of the future of food. Finally, our outlook for the coming year, which I will talk to later, is in line with our 5-year ambition. Tate & Lyle is now a growth-focused specialty food and beverage solutions business; a global leader in sweetening, mouthfeel and fortification creating high-value specialty ingredients and solutions that meet growing global consumer demand for healthier and tastier food and drink. It is a focused, agile and purpose-led business with a clear strategy for growth. The agenda for today's presentation is on the screen. I will begin with a brief overview of the year. Dawn will run through the financial results and then I will come back to update you on our strategic progress and talk to the outlook. Finally, Dawn and I will be happy to take your questions. Starting with the financial highlights. Group revenue was up 18% and EBITDA was up 22%. Return on capital employed improved by 100 basis points to 17.5%. And we delivered productivity savings of $21 million, well ahead of our target; overall, strong financial performance and very encouraging in the context of our strategic transformation and a challenging external environment. Core to our new brand and to everything we do at Tate & Lyle is our commitment to science, solutions and society. This commitment is driven by our purpose of transforming lives through the science of food. We made strong progress last year delivering on our purpose targets and on our commitment to science, solutions and society. Let me briefly explain how. Starting with science. Science and innovation are at the heart of how we deliver our strategy. Our customers increasingly rely on our innovation expertise to solve the challenges of food reformulation and to deliver both nutritional improvement and taste. We have invested over $250 million in R&D over the last 5 years, and last year, we increased investments in innovation and solution selling by 11%. Building our patent portfolio is an important part of our scientific backbone. And during the year, we had more than 70 patents granted, largely in our sweetener platform for ingredients such as stevia and allulose. We now have over 500 patents, with around another 300 pending. We continue to conduct and publish clinical research to provide key scientific knowledge about our ingredients. During the year, we published 6 scientific papers, including 1 on the potential public health impact of fiber enrichment in the U.K. and another on the potential impact of fiber fortification in the Chinese population through food reformulation. Turning next to solutions. We continue to make good progress building stronger solutions-based partnerships with our customers. During the year, the value of our new business pipeline increased by 13%. And the value of new business wins coming from solutions increased by 2 percentage points to 18%. We also undertook 3 targeted campaigns in some of our key categories to drive stronger solution-based relationships with customers and to develop new ways of working with them. These are building greater awareness of our solutions capabilities, and we are looking to launch further targeted campaigns in the coming year. I will talk more about our progress towards becoming a more solutions-based business later in the presentation. Finally, turning to society. In the third year of measurement against our purpose targets for 2025 and 2030, we continued to make good progress. Over the last 3 years, our no- and low-calorie sweeteners and fibers have helped to remove 6 million tonnes of sugar from people's diets. That's 24 trillion calories. With the cost-of-living crisis increasing food insecurity in many of our local communities, I am very proud that over the last 3 years we've provided over 3.5 million meals to people in need through our food bank partnerships. That's well ahead of our original commitment. We are making good progress on reaching gender equality in leadership and management roles, with 44% of these roles now held by women. Turning to sustainability. Over the last 3 years, our Scope 1 and 2 absolute greenhouse gas emissions have reduced by 6%, and our Scope 3 emissions by 13%. Our scope 3 emissions are benefiting from the significant investments we made to reduce emissions in Primient before we sold a majority holding in the business by replacing coal boilers with more efficient gas-fired systems in its 3 largest plants. We continue to perform strongly on waste management, with 92% of waste beneficially used and our sustainable agriculture programs for corn in the U.S. and for stevia in China both performed very well. In China, our program achieved a 55% reduction in greenhouse gas emissions on participating farms while at the same time improving yields by 6%. Sustainability is built into every aspect of our business, including our innovation and capital investment programs, while also improving our customer offering. A great example is work completed during the year by scientists and engineers at our plant in the Netherlands to develop a new manufacturing process for our CLARIA clean-label starches. While our next-generation CLARIA has the same functionality as our existing CLARIA, we have developed a new, more sustainable manufacturing process which results in 34% lower greenhouse gas emissions and 35% less water use. We are reviewing our entire starch portfolio to see how we can deliver similar benefits to other ingredients. Overall then, I am delighted with our financial performance and the progress we are making delivering on our strategy and our social and environmental commitments. I will come back to talk more about our strategic progress, but for now, I will hand over to Dawn to talk you through the financial results. Dawn, over to you.
Dawn Allen: Thank you, Nick. And good morning, everyone. As Nick said, it has been a year of strong delivery for Tate & Lyle. I will now take you through the financial results. In line with previous presentations, I will focus on adjusted measures. Items with percentage growth are in constant currency unless I indicate otherwise. And pro forma financial information for the comparative period has been used to calculate growth rates. I am pleased that we have delivered against all our financial goals. We have continued to grow our business in line with our strategy, successfully navigating a challenging external environment. We continue to invest for the long term and have increased our investment across all 3 pillars of science, solutions and society. We have maintained strong financial discipline and a focus on cash generation, which means our balance sheet remained strong, providing significant flexibility for further investment. And as a result, we are generating strong returns for investors. In terms of financial highlights, group revenue was 18% higher as a result of solution selling, mix management and pricing. EBITDA was 22% higher, as we managed to drive margin-accretive growth despite the twin challenges of inflation and supply chain pressures. Profit before tax was 13% higher, reflecting strong performance in the core Tate & Lyle business and weaker performance in our minority holding in Primient. Earnings per share were 10% higher; and a return on capital employed up 100 basis points, benefiting from higher profits and the disciplined use of capital. Free cash flow was GBP 47 million higher despite the challenge of inflation in working capital. Before I move on to the performance of our 3 operating segments, I want to remind you that each has a distinct role in our business. Food & Beverage Solutions is our growth engine, and its role is to drive margin-accretive growth. Revenue is expected to grow at high single-digit percent per annum, which is ahead of the market. It's also the largest part of our portfolio, comprising over 80% of our revenue and EBITDA. Sucralose, which represents 11% of group revenue, is a strongly cash-generative business. Its role is to provide attractive returns. Our strategy is to maintain a strong customer base and not pursue increased demand if that erodes margins. Reflecting this, revenue is expected to remain broadly flat over the next 5 years. Primary Products Europe is the smallest segment, comprising 7% of our revenue. As set out at the capital markets event in February, we expect revenue in Primary Products Europe to decline low double-digit percent each year as we execute a planned transition away from these lower-margin products and use the capacity to fuel growth in the higher-margin Food & Beverage Solutions business. So let's dig deeper by looking at the key performance drivers of each segment. Let's start with Food & Beverage Solutions. Revenue growth was strong at 19% due to 3 factors: increased solution selling alongside strong price/mix; lower volume, which I will talk to on the next slide; and a small contribution from acquisitions. Price/mix contributed 25 percentage points of revenue growth. This was split into 12 percentage points of pricing from inflation pass-through and 13 percentage points from focus on higher-margin business through price/mix. The price/mix component is split equally across gains from solution selling, customer mix gains and the exit of low-margin business and product mix. Finally, acquisitions contributed 1 percentage point of revenue growth. Turning now to our regions where we saw double-digit revenue growth across every region, along with consistent drivers of strong price/mix offsetting lower volume. In North America, input cost inflation, and therefore revenue growth, was more moderate. We saw good gains across beverage; confectionery; and soups, sauces and dressings, particularly with our larger customers. In Asia, Middle East, Africa and Latin America, revenue growth was strong. In Asia, this was assisted by the acquisition of Quantum. And in Latin America, we saw good progress in sweetening solutions, particularly in Mexico. In Europe, where inflation was highest, revenue growth was strongest, with growth across all our core categories. EBITDA grew ahead of revenue, in line with our strategy, by 21%, benefiting from increased solution selling, customer and product mix as well as contributions from productivity and operating leverage. We continue to take actions to intentionally reset Tate & Lyle as a growth-focused specialty business by focusing on revenue growth and margin expansion through solution selling, mix management and the pricing through of inflation. In doing this, we are prioritizing revenue and margin expansion ahead of volume growth. During the year, this approach led to strong price/mix-driven revenue growth as we also navigated a challenging external environment and input cost inflation. Volume was lower for 2 other reasons: firstly, one-off factors from supply chain disruption, the exit of low-margin business and the impact of industrial action in the Netherlands in the first half; secondly, some demand softness in the fourth quarter from customer destocking in North America and increased competition from imports in Europe. The recovery of inflation was managed in 2 main ways: through supplementary pricing and the annual pricing round to renew calendar year contracts in North America and Europe. In these contracts, we applied our revenue-focused approach and intentionally did not renew the lower-margin business we exited last year. We also built additional flexibility into the contracts, both for us and our customers, to manage future periods of changing input costs. Looking forward, we expect to continue to execute our strategy to prioritize solution selling and the sale of higher-margin products. We anticipate this, together with some demand softness, will lead volume in the year ahead being lower than the 2023 financial year. This is consistent with our approach to enhance the quality of our business and to deliver on our long-term financial ambition. Let's move on to Sucralose. Revenue grew by 2%. This reflected 4% lower volume and 6% improved customer mix. Production costs were impacted by inflation across a range of inputs. The existence of multiyear contracts with our larger customers limited our near-term ability to recover these inflationary cost increases, and as a result, EBITDA at GBP 58 million was 5% lower. Industry demand for sucralose remains robust as consumer demand for sugar-reduced food and drink continues to increase. We continue to see good demand from our larger customers. In Primary Products Europe, revenue was 25% higher, reflecting more favorable market pricing conditions. Lower volume reflected both the impact of industrial action at our facility in the Netherlands and the planned transition of capacity to specialty ingredients. EBITDA losses improved to GBP 9 million. So pulling this all together, we delivered strong profit growth. Food & Beverage Solutions increased EBITDA by 21% or GBP 43 million. Sucralose saw a decline in EBITDA of 5% or GBP 3 million, and our small Primary Products Europe business increased EBITDA by 57% or GBP 12 million. These combined results led to an increase in absolute EBITDA in constant currency of GBP 52 million or 22%. The impact of foreign exchange was to increase EBITDA by a further GBP 35 million to GBP 320 million. This was driven by the average U.S. dollar exchange rate being 12% higher than the prior year. Turning to productivity. We delivered USD 21 million of productivity savings in the year, more than double our target, demonstrating the strong productivity culture we have built across the business. Looking ahead, our target is to deliver USD 100 million of productivity savings in the 5 years ending the 31st of March 2028. We expect cash costs to deliver this program to be in the range of USD 80 million to USD 100 million, delivering a payback over 3 years. Productivity in our operations comes from a range of areas, including capital investments to increase efficiency and reduce energy costs and supply chain efficiencies. A key focus in the coming year will be to leverage digital to improve our end-to-end customer and employee experience. We will also look for synergies across productivity and sustainability projects, like the CLARIA example Nick talked about earlier where we not only reduced our energy and water use but also reduced costs. Let's move on to talk through tax, exceptional items and dividends. The adjusted effective tax rate for the year was 19.9%, 60 basis points higher than the prior year. The increased tax rate reflects higher profits, with more profit taxed at higher rates, alongside the inclusion of the Primient joint venture. We anticipate the adjusted effective tax rate for the 2024 financial year will be 1 to 2 percentage points higher than the 2023 financial year. The key drivers of this are the increase in headline U.K. corporation tax from 19% to 25% and the expected stronger profits in Primient. In terms of exceptional items, net pretax exceptional costs were GBP 28 million, the majority of which related to the separation of the controlling interest in Primient. From a cash flow perspective, this translated into a total exceptional cash outflow of GBP 59 million, again mostly related to the separation of Primient. Turning now to dividends. Within the context of our growth-focused strategy, the Board operates a progressive dividend policy, with the overall aim of balancing growing the dividend with further strengthening dividend earnings and cash cover over the medium term. The Board is therefore proposing a final dividend of 13.1p per share, an increase of 2.5%, which brings the full year dividend to 18.5p per share. Total dividends paid to shareholders last year were GBP 570 million, including a special dividend of GBP 497 million from the proceeds of the Primient disposal. We have built a positive relationship with KPS Capital Partners. And the 20-year agreements put in place to provide supply and economic security for both businesses are operating effectively. We are already seeing the benefit of cash dividends from Primient, with USD 76 million received in the year. Of this amount, USD 30 million relates to distributions for the 2023 financial year, USD 31 million relates to profits earned by a former joint venture prior to disposal and USD 15 million was to settle tax obligations on Primient's profits. Primient had a difficult year due to some operational challenges in their plant network and the impact of inflation. Interest costs were also 47% higher, reflecting higher U.S. interest rates. As a result, our share of profits was 64% lower at GBP 24 million. There is a strong team in place at Primient, and the operational challenges which impacted the business last year are being addressed. Alongside this, the 2023 calendar year pricing round returned unit margins to pre-inflation levels. As a result, we expect stronger profits from Primient in the 2024 financial year. Moving now to free cash flow. Adjusted free cash flow was GBP 47 million higher at GBP 119 million. This was primarily driven by GBP 80 million higher profit alongside GBP 10 million higher interest income on deposits. This more than offset a GBP 37 million increase in working capital where optimization efforts helped to mitigate a large proportion of cost inflation. We continue to invest in capital expenditure, which was GBP 3 million higher at GBP 78 million. Looking ahead, for the 2024 financial year, we expect capital expenditure to be in the GBP 90 million to GBP 100 million range. Overall cash conversion was strong at 62%. And we are on track to deliver our ambition to increase cash conversion to 75% over the next 5 years. Let's move on to the other items on the balance sheet. In terms of net debt, this decreased by GBP 388 million to GBP 238 million. This was driven by 3 significant onetime factors: the GBP 1 billion consideration received from the Primient transaction; the payment of the special dividend of GBP 497 million; and acquisitions of GBP 192 million, mainly for the purchase of Quantum. As I mentioned previously, we also received GBP 66 million of cash dividends from Primient. Our net debt-to-EBITDA ratio is 0.7x. We continue to have strong liquidity headroom to invest for growth with access to around GBP 1.1 billion through cash on hand and our undrawn revolving credit facility. There are 3 key messages I want to leave you with. The first is that we are delivering on our growth strategy, successfully navigating a challenging external environment to deliver strong financial performance and meeting all of our financial measures coming into the year. Secondly, we are investing for the future across our pillars of science, solutions and society, alongside continuing to demonstrate a strong culture of productivity and cost discipline. Thirdly, we have maintained our strong balance sheet through financial discipline and a focus on cash generation. This gives us flexibility to continue to invest for the future both organically and inorganically. It provides a solid platform on which to execute our growth strategy. With that, let me hand you back to Nick.
Nick Hampton: Thank you, Dawn. I'm now going to give you a brief update on our strategic progress and talk to the outlook. At the same time as delivering strong financial results, it has been very pleasing to see significant progress delivering on our strategy. During the year, we completed the separation of the Primient business that repositioned Tate & Lyle right at the center of the future of food. We grew solutions revenue from new business wins and continued to build stronger solutions-based partnerships with our customers. We increased investment in R&D, innovation and customer-facing capabilities; and strengthened our portfolio with 2 high-quality acquisitions. As we explained at our capital markets event 3 months ago, we see a number of structural mega trends which are impacting the consumer landscape which Tate & Lyle is well positioned to capture. Population growth, people living longer, climate change and the fast adoption of technology are all driving consumer purchasing and consumption patterns. In short, consumers are looking for healthier, tastier and more convenient food that's both sustainable and affordable. With our capabilities in sweetening, mouthfeel and fortification, these trends play directly into our areas of expertise. We are experts in taking sugar and calories out of food, enhancing texture and mouthfeel experience as well as improving the nutritional profile by adding fiber and protein. We also have the capabilities to help our customers reformulate products to optimize costs as required. In February, we set out 3 metrics we will be focusing on over the next 5 years to accelerate growth from innovation and solution selling. Let me take each one in turn. The first is to continue to grow new products as a percentage of Food & Beverage Solutions revenue. Last year, this increased by 1 percentage point to 17%. Looking at new product revenue growth, this grew by 17% during the year. And on a like-for-like basis, if you include new products that fell out of the calculation, this grew by 20%. Our innovation pipeline has performed very well over the last 3 years, with new products delivering a compound annual growth rate of 28%. The second metric is to increase investments in innovation and solution selling capabilities, and we increased this by 11% in the year. This was in 3 main areas: capabilities, insights and infrastructure. On capabilities, we strengthened our expertise in areas such as nutrition, sensory and regulatory. For example, we expanded our nutritional expertise in key markets such as the U.S., China and Mexico. In each region, we have consumer insights experts who analyze consumer and category trends by region and by country to identify growth opportunities in our core categories and higher-growth subcategories. This insight is a key part of our customer solutions offering; and we strengthened our expertise in North America, Asia and Latin America during the year. Ensuring our solutions can be applied to our customers' products in their local markets is very important as consumer preferences across the world are different whether it's the amount of sweetness in a product or the way it feels in the mouth. That is why we continue to invest in expanding our global network of customer innovation and collaboration centers. During the year, we opened a new center in Santiago in Chile, bringing the total number of centers to 16. And we are also expanding our center in Singapore to establish a hub focused on mouthfeel solutions. The third metric is to increase solutions revenue from new business wins. While we work with customers in different ways, collaborating on solutions has a number of benefits. The value of the ingredients used in solutions tends to be higher, about 2x higher on average; and also is a stickier sale as the solution directly solves a customer's challenge; finally, it also builds stronger customer relationships, which often leads to new business. It was encouraging to see an increase in solutions revenue from new business wins of 2 percentage points in the year, from 16% to 18%. We delivered growth in all regions supported by our ongoing investment in customer-facing capabilities and infrastructure. Portfolio expansion, either organically or through acquisitions, is a key part of our growth strategy. During the year, we made 2 acquisitions to significantly strengthen our fortification platform and enhance our customer offering. Last June, we acquired Quantum Hi-Tech, a leading dietary fiber business in China. This science-driven business, with its prebiotic FOS and GOS fibers, brings deep R&D expertise to the company. The majority of Quantum's revenue comes from within China where the growth of dietary fibers is estimated at 10%, well above the 6% growth globally. The integration is going well and the business is performing as expected. The other acquisition was Nutriati, a small ingredient technology business developing and producing chickpea protein and flour. We are very pleased with this acquisition, which expands our capability to offer customers sustainable plant-based solutions. We have seen strong revenue growth and customer traction for both of Nutriati's product lines. At our capital markets event in February, we set out our financial ambition for Tate & Lyle over the next 5 years. By way of reminder, this is to deliver 4% to 6% revenue growth, with Food & Beverage Solutions growing high single digits, ahead of the market; and for EBITDA to grow by 7% to 9% each year; we also aim to increase organic return on capital employed by up to 50 basis points on average each year; and on productivity, to deliver $100 million of benefits over the next 5 years; finally, we will continue to accelerate growth through value-enhancing partnerships and M&A. Turning then to the outlook for the year ending the 31st of March 2024. In line with our 5-year ambition, we expect to deliver revenue growth of 4% to 6% and EBITDA growth of 7% to 9%. We also expect to see stronger profits from our minority holding in Primient. In summary then. It's been an excellent first year for the new Tate & Lyle. Financial performance was strong despite significant challenges in the world around us, and we continue to deliver on our growth-focused strategy. We are investing in R&D, innovation and growth capacity; and building stronger solution-based relationships with our customers. Our extensive portfolio and technical expertise in sweetening, mouthfeel and fortification has positioned the business right at the center of the future of food, creating solutions which meet growing consumer demand for healthier, tastier and more sustainable food and drink. Today, Tate & Lyle is a focused, agile and ambitious business. While there will be more challenges ahead, we are confident that the strength of our ingredients portfolio across attractive categories and regions, our passion for serving our customers and the expertise of our people will support the delivery of our growth-focused strategy and our 5-year financial ambition. I would like to finish by thanking everyone at Tate & Lyle for their hard work in delivering a strong set of financial results and for living our purpose with great passion and belief. For all their support, as always, I am truly grateful.